Operator: Good evening, everyone, and welcome to Grupo Bimbo's Second Quarter Results Conference Call. If you need a copy of the press release issued earlier today, it is available on the company's website, at www.GrupoBimbo.com/EN/Investors/Quarterly-Reports. Before we begin, I would like to remind you that this call is being recorded and that the information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially.
Daniel Javier Servitje: Thank you very much and good afternoon, everyone. Thank you for joining us. On behalf of Grupo Bimbo, I hope that you and your families are healthy and staying safe. Connected on the line today is our CFO, Diego Gaxiola; our BBU President, Fred Penny; and several members of our finance team. I am more than proud that our team's reached record profits for the second quarter and net sales growth of 6.6%, excluding FX effects. We continue to see strong demand and extraordinary run rates in our core business. We held and grew market share across our key categories. Realized the volume growth in multiple categories, mainly snacks, confectionery, buns and rolls, and pastries, among others. And we experienced a recovery of those channels and categories that suffered during the pandemic. As we move forward, we will continue investing in our associates, our brands, in the entire value-chain in our sustainability strategy and in our digital transformation projects to achieve our vision. On the sustainability side, with great pleasure, I have to announce that our operations in Chile and Panama started to use 100% renewable electricity. With this 90% of the electricity that we consume from our 2017 baseline comes from renewable sources. And more than half of all our businesses use 100% renewable electricity. I would like to highlight that we are cycling difficult comparisons, driven by the pandemic induced buying, which occurred in some of our geography starting in March of last year. Our run rates are demonstrating strong performance versus 2019, with sales growing at 16.2% and adjusted EBITDA growing nearly 37%. Looking ahead, we're facing a significantly higher inflationary environment. And more specifically, we're seeing increases in commodities, freight and labor costs. And we have been taking actions to cover these cost increases across our different geographies. And we will continue with these same strategy during the rest of the year. Now, looking at the original results of the second quarter, despite difficult comparisons as we lapped the COVID-19 surge of 2020, our North American business had a great quarter. Net sales grew 0.9% in dollar terms. In peso terms, sales declined 13.5%. The branded business performed very well during the quarter, led by sweet baked goods, buns and rolls, and snacks.
Diego Gaxiola: Thank you, Daniel. Good afternoon, everyone, and thank you for joining us today. I would like to start with a summary of our financial results, which were outstanding. Despite both comparisons, we achieved sales growth on a constant currency basis. Record levels of operating profit and adjusted EBITDA for a second quarter and the 280 basis point expansion on our return on equity, we continue to benefit from being diversified company, as we see strong run rate versus 2019. In our core business, and our recovery of the channels and categories that were on the pressure during the beginning of the pandemic. Moreover, we have achieved substantial and sustainable productivity savings coming from capital and restructuring investments we have made in the past, which enable distribution efficiency, automation improvements, integrated system solutions. And additionally, we have lower COVID-related experiences. These contributed to us reaching a record adjusted EBITDA and an EBITDA margin for a second quarter at 14.4%. Our financing costs remain almost unchanged, and our cumulative effective tax rate is stood at 36%, which continue to reflect a benefit of our turnaround businesses that have been performing substantially better than the previous years. As a result, the net effect of these factors yielded an improvement in net majority income of 18.6%. And the margin expansion of 70 basis points to 3.7%.
Operator: Thank you. The floor is now open for questions.  The first question comes from Benjamin Theurer of Barclays. Please go ahead.
Benjamin Theurer: Well, first of all, thank you very much. Good afternoon, Daniel and Diego. Congrats on the results. Two quick ones. So, first, you just said you're going to give more details on the pricing action you're thinking about into 2022 in about 3 months' time, but maybe you can give us a little bit of preview in terms of what you're thinking on the magnitude of those price increases, and across the different channels? So how do you think about retail versus food service, as well as from a regional perspective, where do you think you have better opportunities to put pricing through? And where do you see more challenges to actually get pricing for that? It would be my first question, set of questions. Thanks.
Daniel Javier Servitje: Yes. Good afternoon, Benjamin. Well, I mean, I'm sure that this is the question that it's in everybody's mind. And as we said last time, last quarter, we have been, I would say, very proactive on understanding the impacts that we will have or we had in our commodity costs and in other inputs. And we have been able to address them in the different markets through different levers. One, obviously, is pricing. And another lever is trade optimization or revenue growth management. And finally, in some cases also we have complimented that with productivity initiatives. So, so far, I think that we've been able to get the pricing in most of the businesses, and in the others, we are slated to have those price increases, be in effect in the third quarter. And it obviously varies by country and by channel. And I would say that in all cases, we're trying to make sure that we don't get a decline in our margins at the end of this process. And so far, we have been having a good response from consumers and customers all along the different channels and regions. So, I mean, we were on the same path that we mentioned last time. We're proceeding with these actions, among the 3 levers that I mentioned. And, so far, everything is working as we planned. Thank you.
Benjamin Theurer: Okay. Perfect. And then, one last question I had and that's more of a strategic question for you. So, you flagged it and we know the history of Bimbo. Once leverage comes down, you tend to be very open for major M&A transactions and looking beyond what you have right now. I mean, you've been very active in the past.
Daniel Javier Servitje: Well, yes, we also talked about this one or two conference calls ago. And what I have to say is that we have a very strong CapEx program for this year and next year. And that is mostly because we're facing capacity constraints. We will be facing capacity constraints in different markets and categories. And that's I would say a great news. And this is the first use of our excess cash. And we're always looking at the market and seeing if it makes sense to do an acquisition or any project that grows our business inorganically. And I would say that we were always very attentive to the market. But we don't disclose any ideas beforehand on. And what I have to say is that, as we mentioned, in this quarter, we materialized those 2 acquisitions. And we continue to have ideas and working in that regard. I would say our focus right now is mostly nowadays on how can we grow organically, but we will always be open to whatever might be an opportunity for consolidating our businesses.
Benjamin Theurer: Okay, perfect. Daniel, Diego, thank you very much, and congrats again.
Operator: The next question comes from the line of Alvaro Garcia of BTG. Please go ahead.
Alvaro Garcia: Hey, good morning - good afternoon, excuse me. And congrats on results. Two questions. The first one is for Fred, I would love to hear your thoughts on the consumer environment in the U.S. And this is really a question for both Mexico and the U.S. But on the U.S. just, it's difficult to sort of piece apart, how much is this first sort of proactive price increase that we've seen as you get ready for 2022? Or it's really just a very strong demand environment. that's similar to what we saw last year, strong performance from branded. So if you could sort of piece that apart, that would be wonderful. And my second question is on Latin America, you mentioned in the release, a restructuring in Brazil, and sort of a turnaround plan there. I was wondering if you can give us an update as to exactly what that was all about. Thank you.
Alfred Penny: Yeah. Alvaro, let me take your first question. It's a good one. Q2 has been an interesting quarter. If you think back to the fact that the first call, at the first half of the quarter, we were cycling huge demand spikes from a year ago, obviously, when the pandemic first hit. What's been a very positive result for us, has been that as we've gotten into the back half of Q2, we've seen fairly impressive run rates to year ago. Frankly, surprising to me that we would have been able to run positive to year ago. But that's the way we've been running on tonnage, slightly positive. And given the huge demand of year ago, that's real positive development. I think relative to the question of pricing and inflation, it's a big one, Daniel hit it. We are going to take a price increase from a, call it, a North America standpoint, in Q3, because we need to. We have to combine that with, again, to Daniel's point, significant work on revenue growth management to optimize our trade spend, and quite frankly, really significant work on productivity, because we don't know where the inflation is going to head. But I would say, generally, we feel pretty positive about what we're seeing from a consumer standpoint, relative to consumption. There's an open question as to how that changes, as you know, back to school hits, et cetera, we'll have to see. But I think, generally, I would say so far for most of our categories, the trends have been fairly positive.
Alvaro Garcia: That's super helpful. And just the second question on Brazil.
Daniel Javier Servitje: Yes, Alvaro, this is basically a restructuring we had to do on our distribution work on the primary distribution and on the secondary distribution levers. And it was significant, but it allows now to have more streamlined business, and one that is now poised for growth. So basically, we had to redo our distribution structure there.
Alvaro Garcia: Great. Awesome. Thank you very much and congrats again.
Operator: The next question comes from the line of Ricardo Alves with Morgan Stanley. Please go ahead.
Ricardo Alves: Good afternoon, Daniel, Diego and Fred, remarkable numbers. Thanks for the call. A couple of questions, if I may. On the U.S. margin, I mean, can you talk a little bit about the mix shift in the U.S., the product mix? Maybe this one for Fred, and how that's affecting your margin in North America, I mean, the 13% number quite impressive, and we appreciate everything that you're doing? But the fact that sweet snacks, other categories of such higher margins performing so well, I mean, how important of a factor is that when it comes to being a margin booster? And then the second question is kind of related, maybe for Fred or maybe for Diego. Any details, at this point, you could share already into 2022? I appreciate that the guidance is going to come later this year, but maybe at least qualitatively speaking, when you look at everything that you've achieved in terms of SG&A savings, for example. I mean, are these here to stay? And then, we - could we be thinking about the U.S. running at low-teens, perhaps mid-teens margins in the long run? Appreciate the time.
Alfred Penny: Yeah, Ricardo, I'm going to take a shot at the first part of your question, and I'll turn it over to Diego and Daniel, on the tougher part of your question about forward going margins. But I would say, we've definitely benefited from the shift we saw through COVID to more branded, in terms of our portfolio mix, as opposed to non-branded foodservice, et cetera. That's beginning to shift a little bit back as foodservice recovers. But clearly, the fact that we've got a number of brands in our portfolio - more premium brands in our portfolio has benefited us. And we've continued to see that in the latter half of Q2 to my earlier point. So, hopefully, we're going to see that continue. But that's driving a portion of our margin improvement. The other piece of it, I think, it's important to understand that we've been making investments over the years and becoming a more productive company. And, I think, we're seeing - we're starting to reap the benefits of some of that productivity work that capital investments to get to a lower cost base. So, I think, it's a combination of the two. But obviously, we would prefer to see the trend on our branded business continue.
Ricardo Alves: Thanks, Fred.
Diego Gaxiola: This is Diego. Ricardo, regarding your question of the 2022 guidance, I'd say that based on the strong trend that we have been seeing across the different markets in which we operate, we already talked about pricing strategy, the productivity initiatives. I would say that we feel optimistic about 2022, although, as I mentioned, we will provide detailed guidance in the next conference call.
Ricardo Alves: Fair enough, Diego. Appreciate the time. Thanks for the color.
Operator: The next question comes from the line of Lucas Ferreira of JPMorgan. Please go ahead.
Lucas Ferreira: Thanks for the opportunity. 2 questions for me. The first one if you can give us a bit more details on the average magnetic of this price hikes, you're expecting to see in the U.S. in the third quarter? And when do you guys see considering your hedge strategy, considering inflation of services and labor, and when do you expect to see costs speaking for you? Is this somewhere already late this year or beginning of next year? And the other question is just a clarification. Why your tax rates are so low this quarter? I see your guidance. But just wanted to understand what drove the tax rate that low specifically in 2Q? Thank you.
Alfred Penny: Diego, you're turning this one over to me? Or are you going to…
Diego Gaxiola: Yeah, no problem. If you can take the first part…
Alfred Penny: Yeah. I don't think, we're not - I don't want to be specific about the percentage of our price increase. This is a complicated issue, quite frankly, we're in an environment where the inflation, at least from my perspective, and my time in the industry, I can't recall an environment like this where commodities, labor, et cetera, are as volatile as they are. So we're making our best effort to address the inflation pressures. To my earlier point, we're going to - we will be putting pricing into the market in the third quarter. But we've got to work across the entire spectrum of options to deal with the inflation pressure, and that gets the trade optimization and gets the productivity and cross cutting et cetera. But it's pretty volatile right now. And I would tell you that certainly, if you're - it just wouldn't be news to anyone on the call. There's not much you can look at right now, whether it's a commodity, whether it's labor, whether it's transportation, et cetera, where there isn't a lot of volatility and pricing pressure. So I'm confident that we're dealing with that head on, and we're going to manage it. But it is volatile, and we'll have to see where 2022 comes out. But, I guess, my take on it is that I'm confident that the organization is focused on managing it as effectively as possible, and pulling all the levers to deal with the pressures.
Diego Gaxiola: Perfect. Great. Thank you, Fred. Hi, Lucas, this is Diego. Let me answer the other 2 parts of the question. The first one regarding the expected things like in our cost of sales from the inflation, I would say, and we mentioned this before. We have most of the first half hedged where commodities were still not as high as they are today. So, yes, we will start to face higher commodity prices in the second half of 2021. Now also take into account that in terms of the Mexico operations, we will start to have a relief from the exchange rate, because the one that we have been facing during the first half, it's mostly what we said the beginning of the pandemic. But if you remember, the peso went up to Ps. 22, Ps. 23, Ps. 24, and that has been putting also a little bit of pressure in the first half, so not everything is going to be headwinds in the second half. And, of course, we already talked about the pricing strategy, and then the productivity initiatives that will offset part of this inflation. In regarding the tax rate, we have 36% effective tax rate as of the end of the second quarter. You asked about the second quarter, I would say, take a look at the rate on an accumulated basis. It can be a little bumpy from one quarter to the other. And the reason for seeing a better tax rate, I would say, it's in line with our expectations probably in the low range of the guidance. It's mainly because of the tax losing money operations have presented an important improvement. You know that we have a very conservative accounting approach by not creating deferred tax assets. So as long as we continue to see this tax loss operations being lower, our effective tax rate has been substantially better, though it has continued to improve. Our expectation is that we're going to end the year around this number, broadly slightly higher, but not far away from the 36%.
Lucas Ferreira: Thank you very much, and congrats on the results.
Operator: The next question is from the line of Felipe Ucros of Scotiabank. Please go ahead.
Felipe Ucros: Yes, good evening, Daniel, Diego and team. Hope you guys are doing well. Congrats on the results once again, and thanks for the space for questions. Most of my questions were taken, but let me ask this one on Latin America. When I started covering Bimbo, you guys were hovering around 0% to 2% EBITDA margins that lasted from 2015 to 2019. And then, from the beginning of last year, all the way up to now you're coming in closer to 5% to 6% range in that operation. So that's quite the recovery. I'm wondering, how much of this you attribute to the pandemic, and how much you attribute to the restructuring that you've been executing in some of these countries, which started quite some time ago, when you've taught them to call about how some of the restructuring and efficiency and productivity efforts are starting to come through. Just wondering, what are the biggest changes that have contributed to the improvement? You talked a little bit about Brazil and distribution. Just wondering, what else you've done in the region that it's performing so well. Thanks.
Daniel Javier Servitje: Yes, let me tell you that our business in LatAm, I mean, it's a combination of what is happening in 15 countries, and we don't have the sort of the same medicine in each of them. And the most important thing, I will say is that many of our initiatives of many years are maturing and are rendering results. And many of our countries now have healthy margins and good structural position in the industry. In some other cases, we had to move ourselves from where we were because the country was facing or is facing a very difficult challenge. And that is happening in some of the country's most important market, as you could - like Argentina, or Brazil, or Colombia, recently. But I will say that COVID helped us in some countries, and in others, it hurt us. And now we're seeing some of these countries that were held back that are doing better this year, and others that were doing better last year that are now a little bit less active. But all-in-all, I would say that we manage each country with a very specific analysis of what we have to do to have a long-term viable, sustainable and profitable entity. And, we play along those rules. And sometimes it takes more time than what we envisioned or wanted to. But at the end of the day, the countries are maturing and the businesses are getting into what's expected of them. So I believe that this is sustainable and that we will see better years in the future even as you will know that LatAm is a very sort of change-oriented continent and things are not settled for the long-haul as they are in developed countries. So it's always a region of a lot of challenges and opportunities. But I believe that our DNA is poised for understanding this region and doing well here.
Felipe Ucros: That's helpful, Daniel. And then maybe thinking long-term maybe 10 years out, do you have an objective for margins, where you think this segment can get to?
Daniel Javier Servitje: I just want to say that I believe it's going to be better than it is right now. But not I want to point out the specific number.
Felipe Ucros: Okay, okay, Thank you. I understand that. Congrats again on the results.
Operator: The next question comes from the line of Isabella Simonato of Bank of America. Please go ahead.
Isabella Simonato: Thank you. Good afternoon, everyone, and thank you for the time. Most of my questions have been taken. But, when we think about the guidance for this year, writing and the composition of top-line in margins, is it possible to break down the top-line growth between prices and volumes. And if we look at the second quarter, specifically, what happened, right, in terms of volumes and prices, any color you could give in that sense, and in terms of regions too would be helpful? Thank you.
Diego Gaxiola: Yes, hi, Isabella, this is Diego. But we do not disclose any specific numbers either on volume or price increases, even for the quarter or for the guidance of the year.
Isabella Simonato: Okay, thank you.
Diego Gaxiola: Now, let me just for here, although I'm not going to give any specific color by region, what I can tell you is that we are seeing a positive trend in all the 4 regions in which we operate.
Operator: The next question comes from the line of Federico Galassi of PAAMCO. Please go ahead.
Federico Galassi: Hello, thank you for the question and congrats for the result. Just one question, maybe Diego, this is more related to Mexico. The growth was remarkable. And you mentioned volume, different channels and prices. How do you see with the inflation that we have been put in Mexico, the consumer? Do you believe that they are capable to doing - to continue to increase prices? And they will take it? Thank you.
Diego Gaxiola: Daniel, you want to take it or you will…?
Daniel Javier Servitje: No, go ahead, Diego.
Diego Gaxiola: Yes, I would say, Federico, what we saw during the quarter, I mean, not just the second quarter, also in the first quarter, it has been a strong environment in Mexico. I mean, there are some easy comparisons, particularly with the channels that were affected because of the pandemic and some categories such as confectionary, that was severely hit in the second quarter of 2020. So, say, as more part of the growth has to do with these easy comps in the case of Mexico. But we're seeing a strong environment, basically in all different channels, all different categories. So what we're seeing is that the consumer has been able to take the inflation impact. I mean, that has been in all different province. In general inflation has gone up. But we're seeing strong consumer environment in the country.
Federico Galassi: Okay, thank you.
Operator: This concludes the question-and-answer session. At this time, I would like to turn the floor back to Mr. Daniel Servitje for any closing remarks.
Daniel Javier Servitje: Well, thank you very much for all your questions and time in this conference. And as always, we're open through our Investor Relations team to answer any questions you may have and hope to have the chance to talk with you on the next quarterly meeting. Thank you very much.
Operator: Thank you. This concludes today's presentation. You may disconnect your line at this time and have a nice day.